Operator: Good day, and thank you for standing by. Welcome to Ferrari 2025 Q2 Results Conference Call. [Operator Instructions] Please be advised that today's conference is being recorded. I would now like to hand the conference over to your speaker today, Nicoletta Russo, Head of Investor Relations. Please go ahead.
Nicoletta Russo: Thank you, Maggie, and welcome to everyone who's joining us. Today, we plan to cover the group's second quarter 2025 operating results, and the duration of the call is expected to be around 60 minutes. Today's call will be hosted by the group CEO, Mr. Benedetto Vigna; and the group CFO, Mr. Antonio Picca Piccon. All relevant materials are available in the Investors section of the Ferrari corporate website. And at the end of the presentation, we will be available to answer your questions. Before we begin, let me remind you that any forward-looking statements we might make during today's call are subject to the risks and uncertainties mentioned in the safe harbor statement included on Page 2 of today's presentation and the call will be governed by this language. With that said, I'd like to turn the call over to Benedetto.
Benedetto Vigna: Thank you, Nicoletta, and thank you, everyone, for joining us today. Despite an uncertain macroeconomic environment, ongoing geopolitical tensions and market volatility at Ferrari, we continue to execute our business plan with a focus, discipline and confidence. We base this confidence on the solidity and uniqueness of our business model, the remarkable level of visibility that we enjoy and the continued loyalty of our community. We remain confident and well prepared to navigate potential macro threats, including trade tensions, currency fluctuation and financial market volatility, which require an increased level of cautiousness. And while we can't say that we are completely immune to global events we might encounter, our ability to adapt has been remarkable. Among all factors that underscore our solidity and continuous progress, there are five I would like to underline with all of you. One, we are on track with our product development, in particular with the Ferrari Elettrica, which I had the pleasure to drive a couple of weeks ago on the race track. And I can [indiscernible] you how excited we are for the upcoming launch. Two, we continue to evolve our stunning offering. In July, we introduced the Ferrari Amalfi, 11th model of the 15 model road map that we announced in 2022 during our last Capital Markets Day, and our third launch of this year after the two special series, the 296 Speciale and Speciale Aperta. Such a number of new model launches and technology advancements require an incredible team effort and effective management of complexity and utmost agility, something we should all be proud of, especially in the current context. Three, we continue to hold a strong order book entering 2027 without considering the new launched cars, and with all the range models currently in production substantially sold out. Indeed, the newly launched Ferrari Amalfi is at the initial stage of the order collection, and the demand for the 296 Speciale family is significantly high, nearly reaching full coverage of the life cycle. Fourth, we continue to invest in what makes us Ferrari: client centricity, product excellence, technology advancement. And it is especially thanks to the ideas of our people that we can continue to evolve and innovate. Proof of this are the 341 colleagues who were internally awarded for developing patent ideas in 2024. And last but not least, in line with our plans, the production ramp-up of our e- building is proceeding at pace, as is the construction of the new paint shop, where we have just finished the walls, and we are about to install the equipment. In addition, during the quarter, we began the construction of a new track near our facilities dedicated to sports car testing. This will enhance the accuracy and repeatability of road car testing, a further effort to ensure product excellence. Equally important is that we continue to deliver strong financial results. Indeed, Q2 '25 saw continued growth on all key metrics. A few key numbers to share with you and to highlight. One, total revenues reached approximately EUR 1.8 billion, a 4.4% growth year- over-year with flat deliveries. Two, strong profitability with EBITDA in excess of EUR 700 million. And three, the industrial cash flow at EUR 230 million. At the beginning of July, we hosted over 1,500 guests from all over the world on Amalfi Coast for the spectacular premieres of the new Ferrari Amalfi, our latest V8 range models. The Ferrari Amalfi redefines the concept of contemporary sportiness, combining high performance, versatility and refined aesthetics. The name of the new model is a tribute to Southern Italy and one of the most fascinating coast lines in the world. Amalfi was chosen to once again associate Ferrari with Italian beauty and a place that symbolizes our country. I was there for the first of three incredible evenings of the World Premiere, where we achieved unprecedented client engagement and brand visibility. Indeed, this new model was also displayed in the town's main square for all residents of the Amalfi Coast, the tourist and the enthusiast to enjoy. This model will allow us to nurture existing clients and attract new ones, enlarging the Ferrari community, and the initial feedback has been extremely encouraging. Moments like this always remind us of the importance of human relations. Such moments strengthen the sense of community and unite people with the company and with our Ferrariste. From our Ferrari Cavalcades to our Racing Days and Racing Challenges to our World Premiere, each of these exceptional events is designed to create unique memories and experiences, which are essential to nurture our community's passion and elevate our brand follow. Within client events, also racing activities play a key role. At the circuit of Spa-Francorchamps last June, we presented the new 296 GT3 Evo, a race car that will make its debut in 2026 season. The 296 GT3 Evo perfectly fits within the array of our activities and is instrumental to enrich the experience on track of our racing clients. And on the subject of racing, I will once again express my personal congratulations to the Ferrari team who secured the third consecutive win at the 24 Hours of Le Mans. This is an incredible achievement and an encouraging reminder of our ambitions. Thanks to this extraordinary result, Ferrari will now keep the winners trophy forever, a right granted to those who secure victory in three consecutive editions. And in the same spirit, we are making good progress in Formula 1. We know that the season started below expectation, but in recent races, the team is constantly fighting for podiums and wins. Lastly, in line with our racing heritage and spirit of innovation, we have presented the Ferrari Hypersail project. This revolutionary boat is currently under construction in Italy, and it will see us take on an unprecedented new sporting challenge in the world of sailing, allowing us to keep on pushing the limits of possible in a new arena. Moreover, open innovation and two-way technological transfer between the sports car and nautical sector are key in this project. Aerodynamics, energy efficiency, power management and flight control system are just a few examples in this respect. All these challenges remind us that we have to continue to improve in everything we do with focus, determination and four wheels on the ground. And now, I would like to hand over to Antonio to review in detail the Q2 2025 results.
Antonio Picca Piccon: Good afternoon, Benedetto, and good morning or afternoon to everyone joining us today. Starting on Page 5, we provide the highlights of the second quarter, which represents a solid continuation of the year. First of all, the second quarter was basically not impacted by the incremental tariff in the U.S. as we leverage the inventory already present in the country. Compared to the same quarter of last year, revenues and profitability grew single digits with flat deliveries. Mix and personalization were the main drivers of growth, along with rising revenues, which led to particularly strong percentage margins and a solid industrial free cash flow generation. On Page 6, we deep dive into our Q2 2025 deliveries. Shipments in the quarter were driven by the 296 GTS, the Purosangue and the Roma Spider. The SF90 XX family increased its contribution. The 12Cilindri family continued its ramp-up phase, while the 296 GTB decreased and the SF90 Spider approached the end of its life cycle. Shipments of the Daytona SP3 were lower than the prior year and sequentially decreasing in line with our plans to conclude deliveries in the third quarter of 2025. In the quarter, we had a significant changeover of models. And despite the gradual phaseout of the Daytona SP3, the product mix was sustained by the higher end of our product offering, namely the SF90 XX family and the 12Cilindri family. As customary, the geographic breakdown reflects the different product cycle as well as the company deliberate allocation strategy. On Page 7, the net revenues bridge shows a 5.1% growth versus the prior year at constant currency. [indiscernible] cars and spare parts was driven by the richer product and country mix as well as higher personalizations. Personalizations keep on being very strong, accounting for approximately 20% of total revenues from cars and spare parts, supported by the Daytona SP3 and the SF90 XX family in terms of model and mainly by the adoption of carbon and paintings in terms of offering. Sponsorship, commercial and brand increased, thanks to the additional sponsorship we have this year and improved performance of the lifestyle activities, as well as higher commercial revenues linked to the better prior year Formula 1 ranking. Currency, net of hedges in place, had a slightly negative impact in the quarter, mainly related to the U.S. dollar dynamic. Moving to Page 8. The change in EBIT is explained by the following variances. First, mix and price, positive; thanks to the enriched product mix sustained by the SF90 XX and the 12Cilindri families, increased contribution from personalization and a positive country mix, supported by the Americas. These were only partially offset by lower deliveries of the Daytona SP3. Second, industrial costs and R&D, mainly due to racing and sports cars R&D costs expensed with flat D&A. Third, higher SG&A, reflecting racing expenses and brand investments. And fourth, other, was positive; mainly thanks to racing and lifestyle activities, lower cost due to the Formula 1 in- season ranking assumptions that we revised downward, partially offset by the comparison with last year's release of car environmental provisions. Percentage margins were very strong in the quarter with the EBITDA margin at 39.7% and EBIT margin close to 31%, also benefiting from flat D&A determined by the model changeover. Turning to Page 9. Our industrial free cash flow generation for the quarter was strong at EUR 232 million, and reflected the increase in profitability, partially offset by the negative change in working capital provisions and others, mainly linked to higher inventory in line with our production plan. This quarter, the net impact of advances was positive, but far less significant than in Q1. Capital expenditures were mainly focused on product development and the progress in the new paint shop construction, and finally, the seasonal payment of taxes. Net industrial debt was EUR 338 million at the end of June 2025, also reflecting the dividend payment occurred at the beginning of May. Lastly, in relation to our multiyear share repurchase program of EUR 2 billion, we intend to resume the repurchases, aiming to complete the program by year-end. Moving to Page 10. We confirm the 2025 guidance with stronger confidence on all metrics and removed the 50 basis point risk on percentage margins following the recent agreement on U.S. tariffs as well as lower industrial costs in H2 compared to our initial expectations. All this based on current information despite the remaining uncertainty with respect to the time line of application of the lower U.S. duties on cars and other products manufactured in the European Union, which should impact the second part of the year. Bearing in mind that for the rest of 2025, we anticipate deliveries deliberately reduce compared to 2024 to prioritize quality of revenues over volume, softer product mix versus the first half of the year, mainly linked to the Daytona SP3 phaseout in Q3 and the first units of the F80 shipped in Q4, higher SG&A linked to corporate and commercial activities planned for the remaining part of the year, higher D&A in line with the development of our portfolio and considering the start of production of new models. And finally, greater headwind from FX, assuming that the current weakness of the U.S. dollar against the euro persists for the remainder of the year. The first half of 2025 reminded us of the world's unpredictability and importance of agility and flexibility. In this context, we continue to execute our strategy with discipline and focus. And today's strong results mark continued progress on our growth path, backed by our unique business model and the remarkable visibility that we enjoy. Thanks for your attention, and I turn the call over to Nicoletta.
Nicoletta Russo: Thank you, Antonio. Maggie, we are now ready to open the Q&A session. Over to you.
Operator: [Operator Instructions] Our first question comes from the line of Stephen Reitman from Bernstein.
Stephen Michael Reitman: I have a few questions, please. First of all, could you comment on residual value developments in key markets? Secondly, could you give us a bit more detail about why these industrial costs in the second half are expected to be lower than originally expected? And third, could you talk about why there has been -- why we're seeing now the change in the R&D capitalization versus amortization, so the lower benefit from this in what we saw in the second quarter?
Benedetto Vigna: Thank you, Stephen. So the residual value in key market, we told you last time that there were -- there was U.K., that was a market a little bit under pressure. And we put in place some actions that are showing good trends. We are working also on some models in U.S., but nothing strange, I would like -- I would say. The second one was about the industrial costs, why it's lower. And here, Antonio can comment about that.
Antonio Picca Piccon: Stephen, as far as the actual is concerned, this is mainly due to an easy comp versus last year. Since last year, we had -- I wouldn't call them seasonal, but we had significantly higher costs for racing in the second quarter. And this year, these costs are not there. And on top of this, we have a better reduced quality cost compared to what we had last year. If we look forward to the second half of the year, the better expectations are now related to the fact that in terms of supply chain costs, what we have experienced in the first half of this year is better than we had originally anticipated. So call it, lower inflation. Third, R&D capitalization in the quarter and why? This is simply due to the overlap of our project. You know that we capitalize the spending for models -- for the development of models that have been internally approved. So it very much depends on that. And obviously, the portion -- the remaining portion that is expensed to the P&L is otherwise related to racing. So it very much depends on the pace of development of our car, both in Formula 1 and World Endurance Championship.
Stephen Michael Reitman: So to be clear, the reduction in industrial cost doesn't reflect maybe postponements or delays to any programs?
Antonio Picca Piccon: No, absolutely no.
Operator: Next, we have Susy Tibaldi from UBS.
Susy Tibaldi: So first one, regarding your cars and spare parts growth at 3%. This is lower growth than we have seen in quite some time. So it seems that the ASP was weaker than maybe some people in the market expected. And was that something to do also with personalization? Or how do you expect this ASP to then evolve for the rest of the year? Because my impression was that Q3 was meant to be, let's say, the weakest part of the year, whereas Q2 also ended up being quite weak. So it would be helpful to get bit more clarity there. And secondly, regarding your COGS. The gross margin was extremely strong, stronger than we have seen in a very long time. And it was somewhat surprising given that your ASP ended up being a bit weaker than expected. So what were the moving parts in the COGS that really led to this sort of strength on gross margin? And how should we think about it going forward? And lastly, regarding the U.S. So now the tariffs have been lowered. I suppose that you will choose to not -- no longer increase prices to the same extent. But is there going to be maybe in Q3, some sort of friction because some cars were shipped that were affected by these higher tariffs. So how does it work, right? Some clients will get a different price compared to other clients. Can you just elaborate on that?
Benedetto Vigna: Okay. Susy, I'll take the third one. And then the first two, Antonio will comment. As you remember, we were very timely in announcing the commercial policy, 27th March when the tariffs were in place -- when the tariff get in place at 27.5%. So we will not change the commercial policy till this new 15% tariff will really become -- will be implemented. Because as of now, it is not yet implemented, it will take some time. But you may remember also that when last time we talked here in this event, we said that the invoice of the -- when the client will receive an invoice, you will have separated the tariff in a specific box. Because it's something that we want to make it clear to the client that one part is the price of what we do, another part is instead the tariff that depends on the country where, let's say, the car gets sold. So when the 15% will become really effective and implemented, then we will adapt our commercial policy. Item 1 and 2, Antonio please.
Antonio Picca Piccon: Thanks, Susy. For the first one, it is very much overlap to the question Stephen asked me before, meaning it has to do with the cost of goods. So first of all, cars and part growth 3%. Why? It only depends on the development of the product mix based on our plans. I don't know how an analyst are making their forecast. But basically, this is [indiscernible] in line with our plan of deliveries in terms of model. And as far as personalization is concerned, as I said before, penetration is at 20%, and we actually see a continuing very strong trend. So that encourages us significantly. With respect to cost of goods sold, very strong in Q2. I think I already answered, I replied to Stephen before. It's not just for the sports car business, we have also racing, and that depends on how costs for racing, not just in Formula 1, but even World Endurance Championship evolve over the course of the year. For the rest is better efficiency, if you want to like that or lower inflation, including for quality. So I mean, that's the main drivers. Does it answer?
Susy Tibaldi: Yes. But when we then think about the rest of the year because especially in terms of mix and so on,, the expectation was that Q3 was going to be the bottom for this year. So that's still the case. So Q3 could still be weaker than...
Antonio Picca Piccon: If I look at the sports car business, I mean, it goes without saying that Daytona will be lower because it will be the last quarter we sell it. We don't have the F80 yet. And we just have a few units of the F80 in the last quarter. Then the overall development of our margins depends also on the racing activity and the development in the racing activity as far as cost of goods sold is concerned.
Operator: Next, we have Adam Jonas from Morgan Stanley.
Adam Michael Jonas: My first question is on the Elettrica. And I'm not trying to get you to share any real significant details ahead of things. But remind us, is this product positioned for -- given it's your first electric vehicle, all-electric vehicle, is it positioned as more of a halo type of vehicle that would be offered to existing Ferrariste as like a very desired kind of -- obviously, it will be desired, but more for the existing family, the club, the members of the club, existing members of the club, who you can kind of trust, who will appreciate the engineering and the effort you put into it and also be a good source of feedback when you -- given it's such a big leap. Or is it kind of designed to kind of expand and bring in new Ferrariste right away, right off the bat? How do you -- and I realize it can be both of those things, but I just wanted to ask that question to see where you took it in terms of kind of more controlled environment, trusted family members, a member of the House of Maranello? Or is it kind of a little more ambitious than that before you then launch into the future generations of electric cars? And then I have a follow-up.
Benedetto Vigna: Thank you, Adam, for the question. I can tell you that we are -- about Elettrica definitely is a good try for you to understand how the car is positioned, but you still have to bear with us a few more weeks, and then October will be more clear. Sorry about that. I know you are curious, I would be curious already in your shoes. But it's a good try. You did well. I can tell you that this car is meant for the people that want it. As I said, we don't want to push the car, we want the people to have -- to be in love with the car. And it's for, let's say, people that are already in the community as well as for people that will join the community because of this addition, not transition, addition to our offering. So it's a PV, you cannot try it. Me and Antonio keep trying sometimes with the test drivers on the track on different places where nobody can see during the night. So bear with us a few more weeks, 8th of October is close.
Adam Michael Jonas: Okay. Well, I thought it was a very good try if I say so myself, but you did better. You got me. Okay. My second question would be, are there enough changes? There have been some significant changes from key governments, especially in the United States, but also possibly in Europe on kind of the timing and some of the rules around CO2 emissions. And I understand Ferrari, you don't design products for CO2 rules. You design compelling beautiful products that people want, but can't get. But I'm just wondering if there's any impact from -- I mean, it seems like we don't have an EPA anymore in the United States. Some of those factors, do they at least affect some of the timing or medium or longer-term product rollouts in any way of your more electric products? Or is your answer, I think, predictably going to be, Adam, we do our own thing. We can't control the rules and it has nothing to do with us?
Benedetto Vigna: Adam, I think that for sure, I don't think there is any company in the world that can control how the things are moving outside their wall. So we control what we do. We proceed, as Antonio said, and I said as well, focus, determination, discipline and with agility. I think that in time of this, in these days, when things can change for whatever reason, the advantage to have a company such as Ferrari that is not big, that is more or less in the same place, it helps because we can take decision pretty fast. I think you know that I think we are being the only one that ahead of the 2nd of April, we updated our commercial policy because I think we know what we want to do and how we -- the best way to proceed. I think the time is of the essence. When it comes to regulation, the regulation are important also for us, are important for us, and this is why we are working on the sustainability. So just to make you an example, I can remember what I said a couple of conference calls ago when I said that the 12Cilindri is a car that is compliant with the current regulation, but we did already some innovation that can help us to make this car also compliant with -- this kind of car can make us compliant with the future regulations. So allow me to say in this way. When the boundary conditions change, it's a good push for us. It's an opportunity for us to keep challenging us, to keep learning and to keep redefining the limit. So I think this is -- I mean, we keep in consideration, and we know what is in our hand, we can control and what is instead what must be managed. And the external condition, we are managing them. And I think that we are managing pretty well with agility. And we have to be always, like I say, with the four wheels on the ground. We'll take when they come, we'll manage.
Operator: Next question comes from Monica Bosio from Intesa Sanpaolo.
Monica Bosio: I hope you can hear me. My first question is on the Amalfi. So I'm just curious what the company aims to achieve with Amalfi. So do you expect to attract new customers at [indiscernible] Roma? My second question is on the 296 Speciale. Benedetto, you already said that there is an overwhelming demand, and basically the order are approaching the completion of the life cycle. But any color in terms of regions or customers could be very useful. And my last question is on the Dodici Cilindri. I remember that in the last call, you said that Dodici Cilindri gets less traction in China because of the tax. So I'm just wondering what models do you see gaining more traction in China?
Benedetto Vigna: Okay. Thank you, Monica. I'll start from the last one. Last year -- last call, I was also generic telling Dodici Cilindri not only as a car, but as a motorization because usually, the tax on the Dodici Cilindri is higher in China. So the number of people that are willing to pay more or less 2.7x the price you pay in Italy is lower. So that's the reason why I said we will have a new car, and Amalfi is one of this, that will make -- that is more suitable for the Chinese market. So the Amalfi, and I go back to the first of your questions, if you want two key messages. One, it offer us the possibility to improve the offering in countries such as China because over there, the offering was a little bit limited with the model we had before. And two, is a car that is meant that by putting together the sportiness and the comfort and elegance and the price that is meant also to bring in our world, in our community, clients from other brands. So this is -- I can tell you that -- I mean, we are starting to take orders. Delivery will start in first semester next year. And I can tell you that we have a decent amount of clients that are joining our community from other brands. And the other question you had, the number two was about the 296 Speciale. The demand is very strong. We do not have any color or any, I would say, pattern -- geographical pattern. We have people from Middle East as well from Japan or U.S. or Europe that are extremely happy and anxious, let's say, to get a car like this. The commentary about the design that is completely new. It's about also the color offering. There are some color like the green Nürburgring, for example, that are making and attracting attention across the globe. So, so far, I would say that the model we selected are in line with our expectation in terms of appreciation and also in terms of, let's say, how the order book is moving.
Monica Bosio: Very clear. If I may, a follow-up housekeeping. Susy asked about the third quarter. The last quarter, I'm referring to the last quarter, Daytona will no longer be there, but we will have the few deliveries of the F80 and a much more visible impact from SF90 XX and Dodici Cilindri. Can we say that this could compensate -- could offset the lack of the Daytona, Antonio?
Antonio Picca Piccon: Okay. In terms of mix, we expect the second half to be pretty neutral compared to last year, as a result of the changeover of lower Daytona disappearing in Q4 and the initial sales of the F80, and the ramp-up of the XX and Dodici Cilindri.
Operator: Next, we have Thomas Besson from Kepler Cheuvreux.
Thomas Besson: I have a few questions as well, please. I'd like to start with the share of hybrids in the quarter was the lowest in a couple of years. Could you give us some indications of what we should expect for the next 6, 12 months on that front? I guess it's linked with the lower volumes of the Speciale versus the regular versions, but I just wanted to hear your thoughts on that. Second question, you said you're more confident on the guidance and you removed the 50 bps cautious element of it. But at the same time, you say you're going to align the pricing to the evolution of tariffs. So could you explain why you don't keep this 50 bps element of caution? And lastly, on the bridge, the other line was higher than usual for the second quarter in a row. You explained why. Can you tell us whether we should expect that other line to stay at a relatively high level and partly offset the lower mix in the second half of the year?
Benedetto Vigna: Thank you, Thomas. I'll take the first one. The share of hybrid, you should not take, let's say, punctual quarter-by-quarter. What I can tell you is that it depends a lot what is offered. Today, if you see what we have in our offering, we have some, let's say, higher volume cars that are reducing. And we have -- I mean, so far, we announced in this year, three models, two hybrid, six-cylinder hybrid, 296 and one eight cylinder [ turbo ]. So we are -- I would say that this demand, the ratio depends also on the volume of this car we want to produce. Clearly, 296 Speciale has a lower volume than 296. So we may have a slight decrease of the percentage of the hybrid cars because we have more IC to sell. The confidence and the EBIT, I think Antonio can comment in detail.
Antonio Picca Piccon: Sure. Thomas, on this confidence on the guidance and removal of the 50 basis points, the main reason is that we added in my explanation, meaning we expect now industrial costs for the second half of the year lower than we had originally anticipated. That helps us to compensate together obviously with the fact that the assumptions on the ranking in Formula 1 is now different compared to the beginning of the year. Those are the main -- then within industrial cost, we see there are a number of items going up and down, but the main trend is downward compared to expectations. Other in the EBIT line in the second half, I haven't done the math, honestly. I would expect the growth in terms of contribution of new sponsors to be lower compared to what we have seen in the first half because last year, we had already a number of sponsor or new sponsors in, still positive, but I would expect it to a lower extent. Better contribution from the Formula 1 commercial right holder should stay there. So I would expect positive, but not necessarily to the same extent as it was in the first half.
Operator: Next, we have Flavio Cereda from GAM.
Flavio Cereda: A question for Benedetto. A very quick question. Can you -- as you're aware, the story is about you guys delaying the launch of the second electric vehicle due to perceived lack or lower levels of demand. I find that quite incomprehensible. So given that you're on the line, can you clarify exactly what the position is, please?
Benedetto Vigna: Thank you, Flavio. That's a good question. I think that we said in 2022 that in Q4 '25, we were going to unveil our electric car, and that's what we will do. We are keeping, delivering on promise. So we are perfectly in line with what we said. We are trying the car. The car is proceeding as planned. There is not an hour of delay, single hours of delay on this project. It's very important. So it's -- we never talked about the second car or the third electric cars. So we are very confident, okay? And 8th October, when there will be the unveil of this car, of the engineering of this car, you will see what's behind the article and our words, let's put it this way. You will see it. So you have to be a little bit more weeks of patience and then we will see. We are having a nice evening with Antonio and other colleague in a place with a lot of mosquitoes because we have to try the car during night, otherwise people see it, can take pictures. Unfortunately, there are a lot of mosquitoes, so it's not easy. But it's on track.
Operator: Next, we have Anthony Dick from ODDO BHF.
Anthony Dick: A couple of ones on tariffs. Firstly, I'm just wondering if you saw in the past couple of months, any signs of client cancellations or postponing orders and if this has changed at all since we've had more clarity on the tariff environment. And then secondly, more on the kind of modeling and cost side, but could you maybe help clarify how you expect tariff costs to evolve over Q3 and Q4? I know sometimes you batch your orders for the different regions. So I'm just wondering if we should expect a large share of volumes at the 27.5% rate in Q3? Or if there's kind of a way to work around that? And maybe just a final one is on the Daytona SP3. I'm just wondering if you could share the shipments that you had in Q3 -- in Q2, sorry.
Benedetto Vigna: Antonio can manage all these questions with all the detail.
Antonio Picca Piccon: Sure. Starting from the last one, shipment for Q3, we do not provide -- sorry, Q3 shipment for the Daytona. Q3 shipments overall, we do not provide in advance, as you may imagine. As far as Daytona is concerned, it will be around 40% tariffs expected in Q3 and Q4. Well, it all depends. The political agreement -- if you meant U.S. tariff, the political agreement has been reached. The question that I mentioned is it's still uncertain from when it will actually apply, meaning when there would be an executive order to make tariffs lower compared to today. As of now, we have a certain amount -- certain number of cars that have been imported at 27.5%. From then on, we'll keep on -- we will start importing at 15%. Third -- your first question, cancellations, postponement for the tariff environment. We do not have the sense that tariffs have an implication in terms of customers' behavior, at least not a clarity in this respect. It's more -- perhaps if I had to mention, I did it to Benedetto, if you tell -- it's different, it's more somewhere the uncertainty that may have created a sort of wait and see in some areas of this world related to the uncertainty. But it's very difficult to judge because it's also -- the order intake very much depends on the cars that we have available for order. And since we are close to the end of life cycles of several of our models and the others are sold out, we can't really measure what's the overall sentiment in respect of introduction of a new car, at least for now.
Benedetto Vigna: I think it's a good point. I think that on one side, we have, let's say, a model, let's say, portfolio with more or less all the models sold out and the new model joining our offering now. On the other side, we have -- we reached -- if you look at our order book that is -- it's entering into 2027, well, and it's not even considering all the order of the car we launched recently. We have, for example, a record backlog in Asia, if you consider all Asia with the exclusion of Mainland China because we account it under different region, where we have this really record backlog for this region. So it's what Antonio said. We may have some wait and see that is confounded also with the fact that there are not enough model we can sell. So the client -- the offering is not as rich as it is becoming now with the announcement of the three models we did and also with the announcement of the other model that we will do in the second half of this year. Remember that this year, we unveiled six -- we announced six models, three have been done, three others will be done from now until end of this year.
Operator: Next, we have Henning Cosman from Barclays.
Henning Cosman: If I could ask a similar related question to Flavio's earlier, but I'll try a different way. You also have this 40% electrification ratio for -- in your 2030 targets from the last CMD. And I'm just wondering, I appreciate you've never talked about an actual second electric vehicle. But just if there's any chance, maybe premature to ask this now, but is there any chance to revisit that in the upcoming CMD? That's the first question. And Benedetto, just because you mentioned now the remaining launches of the year, we're quite pleased to see the confidence and the resilience and the pricing of the launches so far. For example, Amalfi 10% above outgoing Roma, 20% above the original Roma price. Is there any reason to suspect that the upcoming launches may not follow that confident and constructive pricing strategy? And if I can squeeze a final one just to clarify. I think, Antonio, you said there's 40 Daytonas left or so for Q3, which I suppose means you had delivered about 60 or so in Q2. But if you could just give us the exact number as customary, that would be great.
Benedetto Vigna: Thank you, Henning. You remember well, 40% of our offering in 2030, that's what we said it was going to be electric. And it's a good try, but we will show you in a few weeks at Capital Markets Day what we are aiming to for the future. We will show with you and all other colleagues in the call as well as others all the detail of what this company intends to do for the next 5 years. Fact number one. Fact number two. Usually, I mean, as we do not talk about the specificity of the model because it's important to keep them secret. Also the price is another important factor that we will disclose when it's time. We will have -- from now until end of the year, we will have this car launched and then we'll disclose what is the price also. Because imagine that you have to disclose first the price to our dealers, and then we can disclose it publicly. Otherwise, would not be fair with some people that are playing an important role in our community. For the Daytona, I think...
Antonio Picca Piccon: On the first one, I can answer. You did the math right. So we were approximately 60 in the second quarter.
Operator: Next we have Nicolai Kempf from Deutsche Bank.
Nicolai Kempf: Not many left, but coming back to CMD, and I don't want to steal your thunder, but we are all very excited. Can you just give us some ideas what we should look for in terms of the announcement?
Benedetto Vigna: What does it mean announcement or what, of the car? No.
Nicolai Kempf: On everything, on what should be focused on at the event.
Benedetto Vigna: Look, I can tell you that at the Capital Markets Day, we'll disclose you in detail what this company intends to do in terms of marketing strategy, product strategy, financial strategy, the business plan. I mean, expect from us to get the same kind of transparency and clarity that we got -- we did and we shared with all the world 3 years ago. I think for us, transparency clarity is key also because it's key for you, it's key also internally because we will use this material also to do the deployment of our strategy for all the people in the company. So if I understand well, Nicolai, this is the answer to your question. So if you can -- I don't know what is your plan. You will see the same detail. You will see what we commit to do till end of this decade.
Operator: Next comes from José Asumendi from José Asumendi.
José Maria Asumendi: José Asumendi from JPMorgan. Antonio, can you please comment on the second half? When you look at the balance between mix price and then industrial cost, R&D and SG&A, do you think there's a chance that the balance of both categories are going to be a bit more in the positive territory or more neutral? I know you commented on each of the different buckets for Q3, Q4. But just wondering for the second half, how should we think about that? And then second, Benedetto, probably also a question for the Capital Markets Day. But can you comment on CapEx a little bit where we stand on the cycle and medium term, how do we think about CapEx, especially in the light of all the special projects you have, right? You have a lot of I think super interesting projects like Elettrica, et cetera. When do we start on CapEx? How do we see this 2 years out?
Benedetto Vigna: So I take the second one and Antonio. So you may remember that many times I said that one important things for a company to be innovative and sustainable is to define clearly the boundary within which innovation must happen. Two, to keep on delivering what the company is committing to do in front of everyone. So what I can tell you that what we told you 3 years ago and the entire world, well, we are fully on track with that. I mean we -- I believe that the best source of innovation in the company is to define the boundary condition and then the people will find a solution. So if you want, yes, we are in line what we said we were going to do with the CapEx. So there is no deviation. You will see more detail during the Capital Markets Day and how we intend to proceed for the future. But as of now, I can tell you that we are on track with everything we committed to all the shareholder community on all the fronts, CapEx included.
Antonio Picca Piccon: Yes. And as far as your first question, I answer on a yearly basis. We expect mix and price to contribute positively to the development of the earnings for the year. Industrial costs and R&D are generally a negative. But as I said before, because of a lighter second half of the year, I expect it to be lower negative than we originally anticipated but for the impact of tariffs, of course. SG&A, I expect it to be a negative, and this is for a number of reasons, including the fact that this year is full of events, of launches of cars. And we keep on working on the infrastructure of the company. And I think I mentioned it all.
Operator: Our last question comes from Tom Narayan from RBC.
Gautam Narayan: Tom Narayan, RBC. I wanted just to clarify, I think you said this, sorry, I missed it. Daytona's -- sorry, did you say it was 40 in Q2 or 60? Then next question was -- it's really a response to Stephen's question. I wonder if this is impacting the stock price right now because I'm getting questions on it. Did you mention something about residual values being contemplated in the U.S.? Maybe you could just put that to bed. It sounds like that's not what you're seeing. And then third, on the guidance, Antonio. I know you said to expect mix in H2 '25 to be similar to H2 '24. I know this is just a mix comment. If I just use H2 '24 numbers, it feels like it implies '25 numbers close to the guidance floor. Just curious how you think of the order of magnitude of what greater than means.
Benedetto Vigna: Antonio can go through this question.
Antonio Picca Piccon: Yes. So first, maybe just to take out the point from the table. On the stock price, we haven't discussed anything in respect to residual value in the U.S. I don't know what you were referring to, at least not in the call. Okay. If there is any doubt in this respect, please ask. I'd go through the other two questions. On Daytona, sorry if I spread it wrongly. But basically, in Q2, there were 60, 6-0. And in Q3, there will be approximately 40, 4-0. Mix in H2 '25 versus H2 '24, I said they rather neutral. Honestly, I don't want to go into the details of how much greater than compared to. Okay? Let's see the signs of the...
Benedetto Vigna: I think for the first question -- on the second -- the third, what was it? Residual value? For the second one, correct me, Tom, to my comment when I said that U.K. and U.S. There is U.K. yes. U.K. that was we said already was a little bit under pressure, and we took some commercial action like to reduce the number of cars we are putting over there. And then I said that in U.S., we have some models that are a little bit under pressure for which we took some commercial actions that are showing some results. So this is what I was saying, Tom. It was not said in my speech, but it was said in the first question to Stephen.
Gautam Narayan: Okay. So there's nothing to be concerned about for the U.S. residual?
Benedetto Vigna: We do not have any specific concern about this. What I can tell you is that we -- for example, we said in a couple -- in a few conference calls ago that for some model, the hybrid, let's say, the aging of the battery was seen as a kind of concern. And that's reason why we put in place a kind of warranty scheme in terms of the battery that is having an adoption depending on the state from 20% -- from 15% to 20%. So basically, this was a concern that over the time, the battery can get -- can expire. And then we put in place since September last year, that is having a kind of warranty, that is having a good traction. Just today, we are around 15%, 20%, depending on the state. While for other usual guarantee, we are below 10%.
Operator: Thank you for all the questions. This concludes the Q&A session. And I will now turn the conference back to Benedetto Vigna, CEO of Ferrari for closing remarks.
Benedetto Vigna: So thank you for your time today and also for all your questions and for trials to get more information, but you have to bear a little bit more till the Capital Markets Day. We are really looking forward to see you here, back here in Maranello for the Capital Markets Day. It will be October 9, so a few weeks more. So the next appointment will be that one. And then I wish you a good morning, good afternoon, wherever you are on this globe. And thanks again for your questions, for your attention. Thanks from all the people here in Maranello. And if you have a rest, have a good rest in August. Thank you.
Operator: This concludes today's conference call. Thank you for participating. You may now disconnect.